Operator: Hello, and thank you for standing by for Baidu's Fourth Quarter and 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. [Operator Instructions]. Now I'd like to turn the meeting over to your host for today's conference, Juan Lin, Baidu's Director of Investor Relations.
Juan Lin: Hello, everyone and welcome to Baidu's fourth quarter and fiscal year 2021 earnings conference call. Baidu's earning release was distributed earlier today and you can find a copy on our website as well as on newswire services. On the call today, we have Robin Li, our Co-Founder and CEO; Rong Luo, our CFO; Dou Shen, our EVP in charge of Baidu Mobile Ecosystem; and Zhixiang Liang, our SVP in charge of Baidu Intelligent Driving. After our prepared remarks, we will hold a Q&A session. Please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. For detailed discussions of these risks and uncertainties, please refer to our latest annual report and other documents filed with the SEC and Hong Kong Exchange. Baidu does not undertake any obligation to update any forward-looking statements, except as required under applicable law. Our earnings press release and this call includes discussions of certain unaudited non-GAAP financial measures. Our press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures and is available on our IR website at ir.baidu.com. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will be available on Baidu's IR website. I will now turn the call over to our CEO, Robin.
Robin Li: Hello, everyone. We delivered a solid results in 2021. Revenues from Baidu Core were up 21% year-over-year in 2021 driven by a 71% increase in non-ad revenue, which accounted for 22% of Baidu Core revenue up from 16% in 2020. Within the non-ad business, our cloud revenues consistently showed outstanding growth throughout the year, and the [indiscernible] the cloud market in China. Furthermore Apollo Go, scaled up its operation and delivered key milestones to drive the long-term commercialization of our autonomous ride-hailing services. Today, I'll review our operation by walking through our AI Cloud, Intelligent Driving, DuerOS and mobile ecosystem business in 2021. And after that, I'll discuss our priorities in 2022. Starting with AI Cloud, we achieved strong revenue growth in 2021. The growth rate of Baidu AI Cloud has accelerated from 2020 on and we believe it has been meaningfully higher than its peers. We made great strides in several industries, notably transportation, manufacturing, public service sector, and energy and utilities. Total revenues from this industries more than doubled in the year driving our cloud business growth. I'll share with you on some of our latest developments in the above verticals. In the energy and utility sector, state grade has been utilizing our AI Cloud since 2020 to perform early detection of malfunctioning equipment and estimate utility demand to ensure a consistent electricity supply. By now we have covered almost 90% of its branches nationwide. In the manufacturing industry, Baidu AI Cloud has expanded into Chongqing, a major manufacturing hub in China, enabling automated workflow, processes and helping to improve operational efficiency. In Tongxiang, we serve Liangjiang new area, which hosts 1000s of enterprises, including some top automakers and electronic companies. More broadly, we observe an increasing adoption of AI in China. According to IDC PaddlePaddle Baidu's open source deep learning platform continues to gain market share. Our internal data show that by the end of last year, PaddlePaddle developer community has grown to 4.1 million and served 157,000 visitors. In the same timeframe, developers have created 476,000 models based on the platform. Meanwhile, in ACE smart transportation, we continue to expand our footprint geographically by year-end last year. Baidu ACE has been adopted by 35 cities up from 14 a year ago. Based on contract among over RMB10 million 94% of cities that have purchased our solutions in 2020 expanded their collaboration with us in 2021. Revenues from smart transportation have been growing rapidly and more than doubled in 2021 versus the prior year. Next in intelligent driving. Apollo Go continue to take big steps toward scalable operation of its autonomous ride-hailing services. We believe that large scale operation allows us to identify the problems that are not visible during testing stage and also push the level for autonomous driving technology advancement. In the fourth quarter last year, Apollo Go advanced, Apollo Go provided 213,000 rides and once again almost doubled its rides quarter-over-quarter, reaffirming our leadership position in the global autonomous ride-hailing market. Apollo Go is now available in eight cities Beijing, Shanghai, Guangzhou, Shenzhen, Chongqing, Changsha, Cangzhou and Yangquan. Meanwhile, we have begun to charge fees for the autonomous ride-hailing service open road things November 25, 2021 in Beijing, and February 18, 2022 in Chongqing, and February 27, 2022 in Yangquan. Baidu have been working hard to improve the safety performance and maximize the efficiency of autonomous driving by synergizing our ACE smart transportation solution, autonomous vehicles, maps, and cloud services. Our Beijing project is a case in point. About one year ago, we built ACE smart transportation and introduced Apollo Go in E-Town region of Beijing. Currently, almost 100 vehicles are providing autonomous ride-hailing services in the drunk on a daily basis, and we have started charging passengers. At the same time, our ACE smart transportation solution has expanded its coverage almost tenfold in terms of intersections in the wrong area over the past year, providing extra support for Apollo Go. We believe that the Beijing project serves as a showcase for other cities to follow and replicate. As intelligent and connected vehicles are taking the center stage of auto sales, Baidu's autonomous driving solutions have one increasing acceptance among automakers. We believe that we will gain further traction as more automakers recognize that partner in Baidu is better than investing extensively in developing their in-house solution. Recently, we received a nomination letter from BYD one of China's largest automotive and technology companies intending to adopt AIC in particular ANP and AVP for multiple popular models. In DuerOS, Xiaodu again was ranked number one in smart display globally and number one in smart speaker in China, based on the first nine months shipment data last year, according to strategy, analytics, Canalis and IDC. Xiaodu revenues continues to grow rapidly. At the same time, we are pleased to note that our services revenue already surpassed 10% of Xiaodu revenue last year. Finally, in mobile ecosystem, solid user growth demonstrated continuous expansion of our mobile ecosystem. In December, Baidu AVPs, MAU accelerated year-over-year growth rates to 14% reaching 622 million daily logged in users on Baidu apps already surpassed 80%. Users are not only coming to Baidu to search information, but increasingly to enjoy diversified formats of content and closed loop services accessible whizzing Baidu app. Through search out our building blocks, users now can enjoy a full service cycle from information search to fact checking to interaction with industry participants, and to purchasing products and services without leaving Baidu app. In services, our instant replies to search queries cover over 40,000 industry participants from 19 verticals in the fourth quarter. Total daily instant replies increased about 60% from December to -- from September to December. In particular, daily telehealth consultations on Baidu health grow to 2.4 million in the fourth quarter 2021 that's up 60%, 62% from last year. Monthly orders for local services such as moving services and home repair services missing Baidu app multiplied fivefold year-over-year in December. E-commerce GMV facilitated by Baidu, though still small, grow about five-fold in the fourth quarter compared to the first quarter of last year. Furthermore, in 2021, we further diversified the format of video content offerings within Baidu app. In 2021, we introduced a fully immersive video experience that combines horizontal and vertical short videos in an endless flow. This and other enhancements have significantly improved short video dealership and driven up ad conversion missing Baidu app. In monetization, manage page continue to make progress, revenue from manage page grow up by 52% in 2021, and reach to 40% of Baidu for advertising. Well, Baidu Core ad revenues increased by 12% in 2021, macro witness and COVID-19 resurgence have impacted the app industry in late 2021. In the fourth quarter, our ad revenue declined by 2% quarter-on-quarter with year-over-year growth, slowing down to 1%. Going into 2022, China is determined to promote technological innovation and upgrade the traditional industries. Such strategic goals were promoted during China's 14 Five Year Plan and reemphasized by the General Office of State Council in early January of this year. In addition, the Beijing Municipal Government recently released its 2021 work report, emphasizing the target to accelerate the construction of a holistic transportation system containing intelligent vehicles, smart transportation, cloud and map as well as leading the development of high level outcomes driving nationally in 2022. Navigating in this favorable operating environment, Baidu will continue to leverage our world class AI capabilities to grow our non-ad business which is a clear growth engine for our overall revenue. For the coming year, we have set the following operational priorities. For AI cloud, we aim to sustain above industry level revenue growth. We will continue to bring our innovations in AI to where with traditional industry and the public service sector, enabling our customers to improve efficiency and boost productivity. We believe we will be able to make further breakthroughs in more verticals. For intelligent driving, we will further scale up the Apollo Go operation to provide rides to more passengers, we will steadily work towards the goals of removing the safety drivers and providing fully autonomous ride-hailing services in China. We will continue to expand our partnership with more automakers, in ASD, in particular ANP and AVP to enable them to be better positioned in the evolving auto industry. As a result, we expect to further drive up our pipeline. Jidu plans to take orders in the second half of 2022 after launching its first concept production car in Beijing Auto Show, April of this year, and aim to deliver mass production in 2023. For Xiaodu, we will seek quality revenue growth and margin improvement, Xiaodu has already completed two rounds of financing. And for mobile ecosystem, we will continue to leverage AI to improve the user experience in search and feed and further build closed loop services within Baidu app to fulfill user needs. In addition, we focus on a healthy and sustainable business model in order to consistently generate strong cash flow to power our investments in new AI businesses. With that, let me turn the call over to Rong to go through our financial highlights.
Rong Luo: Thank you, Robin. Now, let me walk you through the details of our first quarter and full-year 2021 financial results. We closed 2021 with solid financial results, Baidu Core revenue was RMB26 billion increasing 12% year-over-year. In 2021, Baidu Core generated RMB95 billion, $15 billion. This revenue up 21% year-over-year. Now our business grows very fast and reached 26% of Baidu Core revenues in the first quarter after 18% a year-ago demonstrating how our previous investments in AI have built a new growth engine for Baidu. Now as well as in long-term. For the full-year 2021, now our business accounted for 22% of Baidu Core revenues up from 16% in 2020. Our business Baidu AI Cloud is a clear revenue growth driver. Revenues from Baidu AI Cloud increased by 60% year-over-year to RMB5.2 billion in Q4, and was up by 64% year-over-year to RMB15.1 billion in 2021. Now us accounting for more than half of it by the AI cloud revenues, our business benefited from multi-cloud strategies adopted by many of our customers. Our non-ad business profited from Baidu's strong AI capability and upgrade of China's traditional industries. As Robin mentioned earlier, Baidu AI Cloud make great strides in several industries. Total revenues from transportation, manufacturing, the public and energy and utilities industries more than double in a year. Looking ahead, we're into above industry revenue growth for Baidu AI Cloud. Excluding Baidu AI Cloud, Baidu Core now our business includes intelligent driving, as well as other growth initiatives. Intelligent driving, mainly composed of revenue from that including HD maps, automated valet parking, AVP, and autonomous navigation pilot, ANP, and our autonomous ride-hailing fleets. Xiaodu is an important component of other growth initiatives. Xiaodu continue to achieve solid revenue growth, ad revenue grow by 12% year-over-year in 2021. In Q4, ad revenue was up 1% year-over-year, yet decreased by 2% quarter-over-quarter, due to softness in the macro environment and a COVID-19 with that. Our ad business was impacted by significant headwinds in sectors such as education, real estate, franchising, healthcare and travel and may remain challenge in the near-term. We say our trading business should remain relatively resilient and should recover once the macro environment start to improve. In addition, we expect the revenue diversification to continue within our ad business exhibiting strong growth. IT revenue was RMB7.4 billion in Q4, decreasing 1% year-over-year. IT revenue was RMB30.6 billion in 2021, increasing 3% year-over-year. Cost of revenue was RMB17.3 billion in Q4, up 19%, year-over-year, primarily due to an increase in traffic acquisition costs, bandwidth costs, other costs related to a new AI businesses. Cost of revenue was RMB64.3 billion in 2021. You created 17% year-over-year, primarily due to an increase in common costs, acquisition costs, bandwidth costs, cost of goods sold and other costs relate to the new AI businesses. Operating expenses was RMB13.8 billion in Q4, up 29% year-over-year, which was primarily due to an increase in channel spending, promotional marketing and personnel related expenses. Operating expenses were RMB49.7 billion in 2021, up 32% year-over-year, which was primarily due to an increase in channel spending, promotional marketing and personnel related expenses. Non-GAAP operating income was RMB4.3 billion in Q4 and non-GAAP operating margin was 13%. Non-GAAP Baidu Core operating income was RMB4.8 billion, and operating margin was 19%. Non-GAAP operating income was RMB19 billion in 2021. Non-GAAP Baidu Core operating income was RMB22.2 billion and non-GAAP Baidu Core operating margin was 23% in 2021. Adjusted EBITDA was RMB5.8 billion, adjusted EBITDA margin was 17% in Q4. Adjusted EBITDA for Baidu Core was RMB6.2 billion or $974 million. Adjusted EBITDA margin for Baidu Core was 24%, adjusted EBITDA was RMB24.9 billion or $3.91 billion. Adjusted EBITDA margin was RMB20 billion in 2021. Adjusted EBITDA for Baidu Core was RMB27.7 billion, or $4.34 billion and adjusted EBITDA margin for Baidu Core was 29%. In 2021, we will continue to invest in new AI businesses, including AI Cloud, intelligent driving and smart assistants. While the non-GAAP operating margin for Baidu Core decreased from 2020. Our investment resulted in the rapid growth of that revenue. Overall, we expect our ad business to continue generating cash flow to support the rapid growth of our non-advertising AI businesses. So Baidu AI Cloud, we are trying to return rapid revenue growth for 2020, for 2022 and beyond. Cash and short term investments for Baidu Core as of December 31 2021 were RMB186.5 billion or $29.27 billion. Free cash flow for Baidu excluding IT was RMB15.4 billion or $2.4 billion in 2021. Baidu Core had approximately 39,600 employees as of December 31 2021. A few words on unlocking value of other new businesses. A number of our younger businesses are seeing exciting developments in 2021, we completed spot raising for Xiaodu and Baidu, in late January 2022, we do close a Series A financing and raised nearly $400 million. An update on our share repurchase program, we return $650 million to shareholders in Q4 bringing the cumulative repurchase of approximately $1.2 billion in 2021. As of year-end 2021, we have returned approximately $2.9 billion to shareholders under the 2020 share repurchase program, which authorized a total of $4.5 billion. Taking into account the practice of other U.S. listed companies that are listed on Hong Kong exchange, the company has decided not to provide guidance on a company's revenues going forward. Operator with that, let's now open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Alicia Yap from Citigroup. Please ask your question.
Alicia Yap: Hi, thank you. Good evening management. Thanks for taking my questions. And also congrats on solid results. I wanted to ask Robin on these questions. I guess management has been talking about different business transitions since 2019. And since our Baidu is still undergoing a transition period. How would you assess your achievement and progress during this transition period? I remember if I recall, I think management mentioned a few times in the past the tailwinds of China's transformations in the traditional industry. So I wonder, as we enter into 2022, how would you quantify some of these opportunities? Thank you.
Robin Li: Thank you, Alicia. As you can see, we closed 2021 with non-ad accounting for 26% of Baidu core in Q4 last year, and a year ago it was 18%. Our new AI business have been growing at a pace faster than industry average. 2021 was a year with many challenges and opportunities. Despite the uncertainties caused by macro by geopolitical tensions and other factors. There's one thing for sure, that is the world is moving toward AI. As I mentioned in my prepared remarks, Baidu has brought AI to whereas traditional industries and the public service sector to help them improve efficiency and strengthen their competitiveness. Our enterprise customers increasingly recognize the value we can add to their business. And we have made breakthroughs in industries like transportation, manufacturing, energy and utilities. As more automakers recognize the importance of AI, they have indicated to us that they want to use ASD and DuerOS for auto for more and more popular models that account for potentially billions in sales. And we expect that trend to continue this year. But what is more important is our autonomous driving technology and robotaxi service. Apollo Go has scaled up its operation significantly. If you happen to be in any of the cities we just mentioned during the prepared remark. You're welcome to try out our service via Baidu app or Apollo Go apps. It sounds like an experienced and attentive driver. But in fact, it's powered by AI. We believe providing more rides to passengers. The open road will help us further improve our level four autonomous driving technology further improve the safety performance and user experience and therefore further solidify our leadership position. And going into 2022 in short, the backdrop of policy tailwind, we will continue to expand our AI Cloud and make further breakthroughs in intelligent driving. At the same time, we focus on a healthy and sustainable development for the mobile ecosystem. And AI generated content could become a big differentiator for us in the years to come. So overall, I think AI's contribution to our growth will become more apparent in 2022.
Operator: All right. Thank you. Our next question comes from Piyush Mubayi from Goldman Sachs. Please ask your question.
Piyush Mubayi: Thank you for taking my question Robin, Rong Luo, and Liang. Congratulations on another solid quarter. Could you share your thoughts on the business outlook for 2022 in general, and Q1 in particular? Also, how should we be taking off margins for the business in 2022? My second question is on your cloud business, which has grown very nicely outgrowing the pace of the industry. What are the drivers that you see for this business for the rest of the calendar year? And also, if you could comment on the margin outlook for the cloud business, splitting it by gross margin and operating margin? Thank you very much.
Rong Luo: Thank you so much, Piyush. I think that's a very good question. When we look into our business in last year and looking forward. In the year 2021, the revenue from Baidu Core were increased by 21% to RMB95 billion, particularly driven by the AI Cloud. Baidu AI Cloud grew by 64% to RMB15.1 billion last year, and contributed to over 70% of the core non-ad revenues. As we mentioned in the prepared remarks Baidu AI Cloud may breakthrough in several important verticals. As Robin just mentioned, total revenues coming from transportation, manufacturing, energy and utilities. And the perspective sectors is more than doubled last year. When customers realize that by being equipped with our AI capabilities, that becomes stronger. I think that's part of the reason why we have seen repeated purchase coming from a sick customers last year and deepen the penetration in various industries. I think in particular, one thing we need to draw attention is our ACEs small transportation, which start from scratch only few years ago, and has maintained strong growth momentum ever since. Year 2021 ACEs patients revenue achieved triple digit revenue growth. Our breakthroughs in these verticals have built our confidence to maintain a solid growth momentum for AI Cloud. And we aim above industry level growth in 2022. One thing I would like to remind you is actually our current revenues might fluctuate quarter-over-quarter, and we will suggest you our focus on annual revenue growth, which makes more sense. In the margin wise, we have to state that it's Baidu AI Cloud in push parts the personal cloud services, enterprise and public sector cloud services. Revenue from personal cloud services contributed to a small portion and has been growing more slowly than overall cloud revenues, but enjoys a relatively healthy margins. Revenue coming from enterprise and the public sector, including smart transportations has been consistently up outgrowing the overall AI cloud business. From a long-term perspective, we believe that our solutions become more mature and more standardized, our margins of AI Cloud will improve. Baidu Core ad revenue grew by 12% in 2021, and the margins are heresy. We need to know that the app industry has been facing challenges in the near-term due to the macro environment and the resurgence of the COVID-19. Let me see Baidu Core ad revenue growth slowdown in Q1 from Q4 2021. Having said that, if the COVID-19 trend don't get worse post Q1, then the first quarter should mark the bottom of the app industry. Overall we believe that our advertising business could recover once the macro environment that to improve. I think going forward we will maintain a disciplined approach to balance investments and returns to ensure heresy development for ad business. Managing heresy gross is always our one of our priorities. [Indiscernible] in our AI Cloud business, Xiaodu is so important component, in 2021 Xiaodu revenue growth by where and we target to sustain solid revenue growth momentum in 2022. Within the cloud business, our Intelligent Driving was also achieving some breakthroughs. As Robin mentioned, BYD chose Baidu as a partner to provide Apollo self-driving solutions. This partnership covers BYDs multiple hot models across several years. That is one of the example of the promising development for ACE business in Baidu. While the revenue of such punishes that will be recognized over the few years, alongside the shimmer of each model. While encouraged about progress with May and are relatively optimistic about the future business outlook. In summary, I think we will continue to invest deputy in AI enabled business, especially in the Intelligent Driving AI Cloud, which have been developing rapidly. And we believe that all of this will generate a huge growth potential over the long-term. Thank you, Chris.
Operator: Thank you. Our next question comes from Alex Yao from JPMorgan. Please ask your question.
Alex Yao: Thank you management for taking my question. And congratulations on Apollo achieving another record breaking number of growths this quarter. My question is how will Apollo achieve large scale autonomous ride-hailing operations in Chinese cities, given extremely complicated road conditions? And also what are your strategies for Apollo Go to accelerate its operational and the technological roadmap? Thank you.
Robin Li: Liang will answer your question.
Victor Zhixiang Liang: Okay, thanks Alex. As Robin mentioned in 2021 we build-up of local operation, supported by all early moving advantage in our four autonomous technology. Today, we believe that we're already the largest autonomous ride-hailing service provider in the world. I would anticipate the number of rides that we have completed. Based on our experience, together public obligations can generate a large number of long tail data with better quality and a better match with actual user demand, which is different from small scale test driving. By combining this data with our simulation system, we enjoy a flying wheel. In fact, that drove the separation of technology integration. Hence, improving safety performance and the consumer experience and lowering cost. I think you mentioned the complicated road conditions in China. How can Apollo accommodate those challenges and provide autonomous ride-hailing services? I think one distinct feature is our business is our holistic approach, which trend again our ACE smart transportation solution, autonomous vehicles, map and cloud services to improve the safety performance on China's complicated global roadways. Our E-Town Beijing project is a case in part. E-Town the economic-technology development area of Beijing is a typical Chinese open road as you may know. Apollo began autonomous growing testing in E-Town back in 2018. 2020 we have collaborated with Beijing government to construct a high level autonomous driving and domestications and within four years Apollo Go has grown from our for testing to offering large scale operations and throwing passengers in E-Town. Lastly in November, we started up to collect face. Nowadays, almost 100 records are providing autonomous ride-hailing services in E-Town on a daily basis. On orange each autonomous ride-hailing we had provided about 20 rides daily from 2021. At the same time, our ACE smart transportation solution has expanded its coverage almost tenfold from covering 13 intersections to 300. What is even more exciting that Apollo is not conducting fully autonomous driving testing, with no one as [indiscernible] in E-Town on a regular basis. We are working steadily towards goals or removing the safety drivers and providing fully autonomous ride-hailing service in the near future. We believe that we will the number of safety drivers will allow us to significantly reduce our costs and expenses and it will help the business to generate profits in the future. Lastly, I want to highlight that our autonomous driving business has navigating a favorable operating environment. The Beijing government has enacted plans to expanded autonomous driving region to a large era in 2022. Several large cities such as Guangzhou, Chongqing and Shanghai had proactively adopted our ACE smart transportation solutions. And the facility the public obligation for Apollo Go autonomous ride-hailing. We believe that in the short future, those cities will follow a gauntlet to embrace our solution using our holistic approaches system. We also are recently expanded the commercial operations of Apollo Go in Beijing, Chongqing and Yangquan. We believe that we will continue benefit from China's ambition to establish autonomous driving as national pride and the home grown technology. Thank you.
Operator: All right. Thank you. Our next question comes from Gary Yu from Morgan Stanley. Please ask your questions.
Gary Yu: Hi, good evening management. Thank you for the opportunity. And congratulations on the strong progress you've made on AI and intelligent driving. I think most of the questions around these areas have been asked. So my question is more related to your marketing or advertising business? So I think you mentioned earlier that we think first quarter we'll see slower growth, but should mark the bolt-on? So how should we look at the impact of your advertising, marketing revenue from macro from COVID and from regulations said? When you think about, potentially slower growth in first quarter that we cover afterwards, how bad can first quarter be? And you know, how should we look at recovery for the remaining of the year? And then I think my second question also related to that is more on longer-term. So another policy tail wind that I think Baidu is facing is, with more openness in ecosystem, we may see more potential opportunity from, platforms being more kind of inter operational. So in videos, surging e-commerce, what kind of progress have we made so far? And how should we look at the long-term opportunities there? Thank you.
Dou Shen: Hi, Gary, thanks for your questions. This is a Dou. So for a first question, our ad business is highly correlated with micro developments. So actually, as the juniors has already mentioned, the macro economy and the COVID-19 impacts the whole industry and clearly, our business as well in the Q4. These challenges are likely to continue in Q1. So, the factors that underperformed in Q4 such as the education, real estate, franchising and travel are likely to be soft as well, in Q1, but meanwhile, we were cautiously optimistic about the macro developments, because we already see many macroeconomic regulations are being put into places and likely to have positive influence on the economy, so we already witnessed some early signs of the recovery and the momentum for some industries like healthcare. So we're building once the macro environments begins to improve, and our ad business starts to normalize along the economic recovery in Q1, it could be a trough for our ad business in this year. So in the long run, our strategy to build a stronger user base, and the commercialization capabilities and is also making our ad business and mobile ecosystem more resilient than before. So as Robin already mentioned, so we made a stride to enrich both the content in the closed loop services within Baidu app through our efforts on smart mini program, manage pages by that, the building blocks we have been talked about a lot before. So in turn, the user experience for both the content and service consumption, and also the commercial conversion, both on iOS and non-iOS, so being enhanced accordingly. Our mobile ecosystem, then from the mid to long-term perspective will become a platform where our users had one-stop satisfaction for majority of their needs. So with that, besides as, and we believe that the monetization approaches such as live streaming rewards, the Commission, the subscription membership, and et cetera will grow clearly. So therefore we are still investing in many initiatives in our mobile system. Now, we believe our capability will continue to make our margin healthy and sustainable moving forward. For your second question about the proposal, we think it is very, very important for the whole Internet, and will lead to a fundamental open ecosystem in which but which will benefit in every single user of Internet. So we are no search by nature is open. And Baidu has been making its efforts to strengthen the open nature of our mobile ecosystem. So we have made a meaningful progress. And we believe there are many more to come. Let me show you a few examples. So content wise, in addition to [indiscernible] we have leveraging the H2, H5 and Smart Meter program to make our users able to access a vast amount of content from China's top as well as the long tail apps covering long form video platforms and the short form video platforms like B2B and the lifestyle platforms and the podcasting ads and a lot much more long tail comic book apps, with the native app experience. And as you know, just mentioned for the shopping side, as we mentioned earlier, we had made more than 1 billion H2 from our major partner platforms available for our users. And for services, again with the smart meter programs, we now can fulfill a variety of user requests spanning over almost 300 service categories from top platforms such as [indiscernible] an in many vertical platforms like Mauya, low service. Last but not least, we open sourced our smart meter program framework in the very beginning and to empower our partners so that the smart meter programs can actually run seamlessly in their apps recently the leading smartphone makers, such as Oppo, Vivo, Xiaomi have adopted Baidu smart meter program framework in their in house products which resulted in more than like a 20 million more daily active users for smart meter programs. And we already see this has been encouraging more and more developers to embrace the ecosystem. So we believe that interoperability could bring more market opportunities for not only Baidu, but also for the interior industry. So we will continue to closely monitor the dynamics. And we will do our parts to make move on faster.
Gary Yu: Thank you.
Operator: Thank you. Our next question comes from Eddie Leung from Bank of America Merrill Lynch. Please ask your questions.
Eddie Leung: Good evening and most of my questions have now been asked, just curious on your use of cash including investment plan as far as any potential increasing your buyback program. As for investment, we noticed that quite some of your major peers talking about more disciplined going forward in terms of investment. So wondering whether you have a similar strategy going to 2022, thank you.
Robin Li: Thanks for the question. I think in terms of a corporate strategy, I would like to emphasize that the most important investment always investing in ourselves. If you're looking to our business today, our growth is clearly driven by the ad happiness, which is already 26% of the total revenue now. And now ad mainly composed of AI cloud, intelligent driving, AI related growth initiatives. All of these are kind of newbies for us, and which requires more investment. This AI business represent different stage of growth, and they are very important for the long-term revenue growth of our company. Our investments are pretty much packed with growth potential. So we will continue to invest dedicated AI on ourselves in particularly intelligent driving and cloud to lay a solid foundation for our future growth, and meanwhile, will remain open but also we are disciplined in investing and choosing which may complement our new business initiatives. In terms of capital allocation, yes some of our new business have completely different reasons, and which have created more capital for their future development. On the other hand, is such arrangement, which can better align their manager employees interests, I think going forward will maintain open attitudes. And we're open to bring in more diverse investors, including structure investors, to help the companies to grow. In addition, you've mentioned the share repurchase program, I think we believe that our AI business has been undervalued by the market. For example, the market has not placed sufficient values on our intelligent driving businesses. That's the reason why we keep buying back our shares. As of the end of 2021, will have returned approximately $2.9 billion to the shareholders under the 2020 share repurchase program. I think this reflects the condition that we have in the direction of our businesses. Thank you for question.
Operator: Thank you. Next question comes from Jerry Liu from UBS. Please ask the question.
Jerry Liu: Hi, thank you management. Yes, I want to go back to the Apollo topic. Maybe just from a different perspective, on this call, you guys mentioned some more wins with automakers and especially the new partnership agreements with BYD. So I just want to ask what are some of the operating metrics that you can provide to help us quantify how big can this opportunity, can this business be? How will these partnerships benefit the ABS business going forward? How will it benefit overall revenues? Thank you.
Robin Li: Hi, Jerry, this is Robin. Intelligent connected vehicles are becoming the new attraction for auto sales. Many automakers have come to realize that adopting Baidu solution is better than investing in their in-house solutions. That's why a lot of automakers have chosen to partner with us. Our in-vehicle informing timing system to our auto has been on market for quite a few years. But our ASP namely both ANP and AVP has been gaining traction over the past or so, we have seen strong acceptance from the automakers. You mentioned, BYD as a very good example they are one of the largest EV automaker in China. It probably accounts for close to 20% of China new EV market last year, and their sales volume grow for new EV grow by over 200% last year. They have selected us to be a partner to supply the autonomous driving solutions, especially ANP and AVP for multiple popular EV models across multiple years. With the increasing adoption of Smart EV in China, we believe Baidu's strong autonomous driving capability put us in a very strong position to win more businesses. As the end of last year, according to our internal estimates, the total projected cumulative sales of ASP and auto from new wins should be about RMB8 billion and that's unrealized revenue count was growing very fast over the past two to three years, especially, the contribution from ASP has been very strong.
Rong Luo: Yes, and I tried to make it clear about the numbers. We're seeing the very promising numbers of our accumulative sales of auto in the past few years. They grow, the growth is quite promising about this number, which includes the contract side and a nomination letters from customers. I think the auto industry's nomination letter means the supplier is successfully accepted by OEM or certain projects following the nomination letters OEM typically contracts with suppliers. Our estimates made based on our assumptions, the timing of new models, the pricing and the future sales volume, according to the discussion with our customers, and some projections also coming from the professional third-parties. Of these projects usually last for three to five years, during which time we will recognize the revenue based on actual installations. I hope this can give you a better understanding of our ASP business. Thank you.
Operator: Thank you. Our next question comes from James Lee from Mizuho. Please ask your questions.
James Lee: Great, thanks for taking my questions. A couple of follow-up questions on autonomous driving. I recently read your recently published book on smart transportation and in this book specifically you guys elaborated a number of details about the industry landscape including V2X, traffic management, smart EV and autonomous driving and just looking at the various fields that you mentioned the book here what is Baidu's mid-term core strategy and long-term development goals? Thanks.
Rong Luo: Let me start with why I wrote this book. The application of AI technology has given me new ideas and new solutions to digital transformation of many industries. I think transportation and auto is probably the best example. So, in this book, I demonstrate how AI is going to reshape this industry and create enormous value for all of the stakeholders. The ITS or intelligent transportation system has two building blocks. One is the intelligent and connected vehicles, the other is the low side infrastructure. This tool works well independently, much more effective together. The system deeply integrates a wide range of technologies including AI, 5G in Cloud computing into the transportation and auto industry. It is dedicated solving three major issues first, to minimize job safety accidents, 94% of the accidents are caused by human error in driving and autonomous driving will be much safer. Second, systematically reduce congestion based on our experience with certain Chinese cities, Apollo V2X or vehicle to road infrastructure has helped reduce traffic congestion during peak hours by 20% to 30%. Thirdly, reduce the carbon emission, road transportation accounts for over 80% of the carbon emissions from transportation sector. Therefore, improving the efficiency of transportation system is critical for sustainability. AI is reshaping the transportation and mobility industries creating trillion dollar industry opportunities. In China, there are more than 300,000 road intersections in urban roads, and about 150,000 kilometers of highways and 10s of millions of parking lots. There have been all in the process of upgrading with AI technology, not to mention the autonomous ride-hailing and smart EV market opportunities. As I mentioned in the prepared remarks, Baidu has made significant progress in intelligent driving. So in the medium and long-term, we aim to expand the Apollo goal to 65 cities in 2025 and 100 cities in 2030. And expand our smart transportation into more cities and deepen our penetration in each city. From a more macro point of view, ITS is a microcosm of future digital city operation. I think the digital city operator mode assisted by AI technology will be a good solution. Through AI, new infrastructure we are confident to further contribute innovative solutions to the digital transformation of industry and city. Thank you.
Operator: All right, thank you. We have reached the end of the question-and-answer session. And with that, ladies and gentlemen, we conclude the conference for today. Thank you for participating. You may all disconnect.